Operator: Good afternoon, ladies and gentlemen. Welcome to 2015 Second Quarter Results Conference Call. I would now like to turn the meeting over to Mr. Richard Roy and Mr. Henry Buckley. Please go ahead Mr. Mathieu.
Denis Mathieu: Good afternoon everyone and welcome to our Uni-Select second quarter financial results conference call. Before we proceed with the presentation, I would like to remind you that certain information discussed during this call may constitute forward-looking information within the meaning of Securities Legislation. Caution should be used in the interpretation of such information. For details, please refer to our disclaimer regarding forward-looking information in our latest Annual Report available on SEDAR as well as in the press release issued earlier today. I will first referring the call over to Richard Roy, who will outline the key highlights of the last quarter, Henry Buckley will then discuss the ongoing operations partly while I will go over some of the key financial highlights for Q2. After our presentation, we will open up the call to questions. Richard?
Richard Roy: Thank you, Denis, and good afternoon, everyone. Thank you for joining us. During the second quarter, we continue to deliver against our plan and we are very pleased with the progress we are making. You will likely recall that at the end of last year, we have indicated that after two years of focus on costs optimization, our number one priority for 2015 was going to be profitable top-line growth. I am delighted to see that both segments are contributing strong resource that objective. In fact, the 14.7% decline in consolidated sales of this year is entirely explained by the two versus three months factor of operations of the sold Uni-Select USA and their currently work productivities as well as by the decline of the Canadian dollar against the U.S. currency. Beyond these two considerations are consolidated organic sales grew a healthy 3.7% during the second quarter on top of a solid organic growth realized during the same quarter last year. This performance was driven by strong customer recruitment effort from our paint and related product team as well as by our customer-centric strategy. Excluding impairment and transaction charges and one-time items including a net reversal of restructuring charges, our adjusted EBITDA reached $21.1 million during the second quarter, only $250,000 lower than last year even with one less month of operation of the divested activities. This performance resulted in an adjusted EBITDA margin of 7.6%, up shortly from 6.5% last year. Adjusted earnings increased by 21.1% to reach $20 million or $0.94 per share compared to $0.77 per share last year. Once converted to Canadian dollars, adjusted earnings per share reached to $1.16 for the second quarter, up 38.1% compared to $0.84 per share in 2014. Before I turn the call over to Henry, let me say how proud I am to see Uni-Select emerge as the substantially more profitable operation featuring a very strong balance sheet. This illustrates the soundness of our vision for the future and our strategy to win one automotive and paint customer at a time through a customized approach that truly put customer first. Henry?
Henry Buckley: Thank you, Richard. Hello everyone. I’m pleased to report that both our segments provided very satisfying results this year. In automotive, organic sales grew 3% in the second quarter adjusted EBITDA for the automotive segment decreased 14 million as Richard said, our performance again mainly explain by the inclusion of only two months of the operation of the U.S. activities in Q2 as well as lower productivity of those U.S. operations. We continue to accelerate growth in the Canadian automotive business, we will clearly continue to focus on organic growth with our strong leadership team and we’ll be the additionally focused on ability on our corporate store business. In terms of FinishMaster, the sales of our paint and related product segment grew 5.47% to 155.4 million or 4.4% organically. Segment EBITDA reached 19.2 million, up 24.1% versus last year. Since beginning of the year, we have made improvements to our sales programs, grew our gross margin due to strategic inventory purchases and integrated accretive business acquisitions. We are confident as we begin to compare our results on an apples-to-apples basis in the quarters ahead, we will continue to see similar sales and profitability growth patterns across both our businesses. The one comment thread across both segments remains our commitment to creating maximum value for our customers. The pursuit is just ongoing objective rest on a combination of adjustments through our strategy and sales-force structures as well as we are in a permanent review process for both our product offering and the optimization of our distribution network and supply chain to deliver exceptional built rate. An example of how improved our distribution is a recent opening of the national distribution center in Toronto to service and private brand products. This 100,000 square foot DC is the fully operational and allows us to better serve our Canadian customers from coast to coast. FinishMaster is also working tirelessly on opening a fourth distribution center on the American East Coast, this new DC should be in operation in Q4. Now we have only said that the future growth in Uni-Select would come both organically and through acquisitions. In the first half of the year, we completed four acquisitions, three in the United States and one in Canada. What enable us to strengthen our presence in the [indiscernible] market, paint products markets with the acquisition of Sea Hawk we finished line a family owned business in the Tampa Bay area. We also purchased the remaining 50% equity interest of Wilter Automotive & Industrial Supply in Alberta, leading regional automotive active player adding to our growing corporate store network. In May, we added two more key acquisitions and that reinforcing the reach of our paint and related product segment. FinishMaster acquired the assets of two aftermarket distributors, Ray’s Auto Paints & Supplies located in California and Sandhills Automotive Refinishes in North Carolina. Both are family owned businesses, both have proven to be well established leaders in their respective markets and both have shown tremendous commitment and desire to contribute the FinishMaster's growth. Their addition will help us drive more value for all our stakeholders and extend our footprint to better service our U.S. customers. Our commitment towards profitable top-line growth remains our number one priority for 2015 and we are confident to be able to continue attracting new customers to UniSelect. Now let me turn the call over to Danny Matheiu. Danny?
Denis Mathieu: Thank you, Henry. Before I begin, let me remind you once again that giving the closing of the sales of our U.S. products distribution business on June 1st, the Q2 ending year-to-date results presented today and discussed on this call includes the operation of UniSelect USA and that only up until May 31, 2015 both on a concentrated basis and within the automotive segment. That being said, let me address a fewer important financial housekeeping items pertaining to our second quarter results. The first technical element to consider when analyzing our results today is that on June 1, 2015 we immediately applied $278 million of the transaction net cash proceeds of $324 million towards our outstanding debt which was paid back in full. As such, Uni-Select is now debt-free and as of June 30, 2015 the corporation has $78 million in cash and 405 million in available credit facility. This provides Uni-Select with the resources and flexibility to actively focus on its organic and acquisition growth driven strategy. As a second element, I would like to highlights that the EBITDA for the period includes impairment and transaction charges of $13.5 million and a net reversal of restructuring charges of $1.7 million. This last provision now being reversed was originally taken in the context of the action plan enactive 2013 and which ended with the closing of the transaction. My last housekeeping item is the fact that the Canadian dollars has remained low. For the first semester, against the U.S. currency, the Canadian dollar trade on average $0.11 lower than a year ago, this should continue to be a factor during the next few quarters when comparing our converted Canadian results with the previous year. Even if the currency fluctuation have no impact on cash flow. Of course, the counter-effect of the weaker Canadian dollar against the U.S. currency is that adjust earnings per share for the six month period amounts to a CAD1.74 compared to a CAD1.35 in 2014 up almost 30% year-over-year. Now entering in the second half of 2015, we would like to reiterate, I mean as we reiterate earlier invitation that we expect to generate on a pro-forma annual basis sales of 1.1 billion of which 55% should be in USA and adjusted EBITDA in the upper range of 7% to 8%. I know that's a lot of you are wondering about our comps Q2 would have look like in 2014, without the result of the US automobile operations that we sold. We estimate that excluding those operations, both our Q2 2014, and Q2 2015 EBITDA margin would have been approximately a full 2% higher than reported, but please keep in mind the ever important notion for seasonality. Q2 traditionally being our largest quarter of the year, margin are therefore higher due to the fact that a significant portion of our cost is fixed, so this complete my financial review and as you all know, tomorrow will be my last day as a member of the Uni-Select family, I wish to take this opportunity to extent most sincere thank you to each of the analyst and associates with whom I collaborate over the years. Thank you for your support, professionalism and for the quality of your input and analysis. I sincerely hope that our path will cross again in the near future. Back to you, Richard.
Richard Roy: Thank you very much Henry and Denis our second quarter results are starting to display the new profile of Uni-Select featuring namely two solid segments where we hold the key leadership position in the markets where we operate. A strong focus on profitable top-line growth, an ongoing commitment to optimize cost as illustrated by our recent effort to right-size our corporate and support functions and finally a very solid balance sheet with the flexibility to cease opportunities and invest in our future. I wish to reiterate that Uni-Select will spare no effort to continue fostering a customer-centric culture throughout all of our units in order to provide the best customer service in the industry. Such a vision will help us leverage all business opportunities whether it is retaining and recruiting customers identifying enrollment in our banner programs, enhancing our product offering or ceasing acquisition opportunities. And we will achieve this with only one ultimate goal in mind creating value for our shareholders. With the same key principal in mind I’m pleased to announce that our board of director has approved earlier today and other quarterly dividend of $0.16 a share. Let me conclude my remarks today on a more personal note, I have had the privilege of serving Uni-Select for the past 17 years including over seven years in my current role. Over the years, I have met and worked with very talented, passionate and committed people and will cherish the memories and relationships I have build here for the rest of my life. It is with mixed feelings but a profound sense of accomplishment that I will leave tomorrow, a healthy company that is more than ever we geared for growth. I am confident that Uni-Select is in very good hands as Henry takes over the exciting challenge of making Uni-Select and ever more profitable and performing company. As you know, I won’t be far as shareholders of the corporation have entrusted me the stream with a mandate to serve as director on the board of Uni-Select. Thank you and we are now ready to answer your questions. Operator?
Operator: Thank you. We will now take questions from the telephone lines. [Operator Instructions]. Your first question is from Benoit Poirier. Please go ahead. Your line is open.
Benoit Poirier: Good afternoon everyone and congratulations for the good quarter also at the same time best of luck to you Denis and Richard, it's been a pleasure to work with you for the year. So, good job. Just first question, I was wondering if you could comment a little bit about the organic growth on the automotive side. 3% in the quarter, pretty solid performance, I was wondering whether it's been also helped by the fact that there is some conversion at the independent job level and also if you could provide more details about the corporate store strategy going forward?
Denis Mathieu: Good question, Benoit. I will ask my friend Gary. He is here to comment on that.
Gary O'Connor: We did have a good quarter and we believe that we continue sustain this organic growth for a significant period of time. I think we have made a lot of headwinds with our membership. As for the corporate store strategy, obviously we do have a handful of stores right now. And we do have some opportunities going forward to grow that number, the business is changing so we will be [indiscernible], part of our focus will be on assets of our business to make sure that we sustain our growth or by income. And there was no real conversion during the quarter from corporate store.
Denis Mathieu: And also Benoit it's in mind with what we said at the end of the first quarter when we said that the first quarter was very-very slow and some business were transfer to the second quarter and also from the fourth quarter to the first quarter. So at the end of the day overall the trend is that we have right now is more sustainable.
Benoit Poirier: Okay. And when we look now in terms of EBITDA margin, obviously another strong performance but I am curious a little bit on the paint side you reported 12.6%, you mentioned better margins with the vendor incentive but also additional profit from purchase before expected pricing increase. So what is the magnitude of the impact on the margins and also whether this performance is sustainable going forward?
Denis Mathieu: Benoit, if you remember last quarter I mentioned that the 10.7% that we had reported on at that time was probably on the high side. I am proven rolling and I love it. I do not mind proven the wrong any a time when it's some positive side, but we still feel that the margin that we are reporting this quarter is on the high side of what is really sustainable.
Benoit Poirier: Okay. And is it more a matter or the U.S. dollar ramping up so which means that you could see additional tailwind in Q3 if the Canadian dollar continues on its way?
Denis Mathieu: If you are talking about the EBITDA margin for FinishMaster, no, that is not a factor at all.
Gary O'Connor: And don’t forget FinishMaster results are in U.S. currency and are located in U.S. So there is no impact on currency on this one.
Benoit Poirier: Okay. Perfect. And obviously you finished the quarter with a very strong balance sheet. Would you provide maybe some color about the M&A outlook, you seem to see an acceleration in the pipeline so I am just curious to know what we should expect in the second half of this year?
Richard Roy: The reality is we have been working on our acquisition strategy for quite some time now. So we have got a very robust pipeline in both the FinishMaster business and the Canadian automotive business. So we are very optimistic in terms of our pipeline, but of course the timing of any such acquisitions come when they come. And that's something we can't necessarily predict, but that's certainly something we are highly focused on.
Benoit Poirier: Okay. And lastly on the dividends side, you were kind of 21% in the low end of your range despite the increase. So I am just curious to know if we could expect the further dividends increase during the year or probably once a year so 2016?
Denis Mathieu: Basically as you know our best practice has been to reset our quarterly dividend once a year. Basically we have the results of the first quarter so we do not expect to change that process.
Operator: Thank you. The next question is from Leon Aghazarian. Please go ahead. Your line is open.
Leon Aghazarian: Let me be the second person here to wish you guys good luck in your future endeavors and it was a pleasure on my behalf as well to be dealing with you over the last few years. So if I can jump into some of the questions here. I just have a follow-up on the previous question regarding the EBITDA margin on the paint side, you didn’t mentioned at the 12.6%, is at the higher end of what should be expecting as well as in Q1 to 10.7? Can we just dive into a little bit, more color on that as to why that’s happening is it due to a pricing increase? You are mentioning that there is higher incentive on the vendor side. So I am just trying to understand what would make 2% increase occur in given quarter like that?
Denis Mathieu: Well, there is several elements and these are two that we have mentioned there and obviously the team there has done a wonderful job of leveraging the operation. So realizing good organic growth on top and very high level last year by the way, I’d like to mention that without increasing costs. So it’s a factor of all of those elements that have contributed to the great EBITDA margin this year. There has been a couple of small accretive acquisitions but going forward, I mean all of the-- I would say that all of the plan have wind up pretty well. And so that’s why we believe that it’s probably a little bit higher than what we can expect a longer term. But as that being said that last quarter and I was proven wrong this quarter, but we obviously this is a very positive trend that we think is, we really experienced a very good quarter with all the plan is lending up.
Richard Roy: I only reiterate one point there is that Steve and the team at FinishMaster have done a great job that really truly aligning all their costs with the sales growth. We’re sort of poised and prepped to continue to accelerate that business, but we’re very disciplined in terms of expense control and expense deployment. So we’ll deploy expense as we need to get the recurrence of grow, but should our level of sales growth the moderated any way, we’ll also moderate those costs. So Steve and the team have done an admirable job in terms of keeping those costs there.
Leon Aghazarian: And on the pricing side, I mean you mentioned all these enhanced gross margins were before expected price increases. I mean do you see any potential for price increases in the near-term or are you, have you already done some of those?
Denis Mathieu: On the paint side, as we’ve said before, the price increases have always been there and they tend to happen in several moments during the fiscal year. So there is nothing really that different. Steve would you like to comment on that?
Steve Arndt: The only additional thing I would add is that our smart product is contributing to the additional margins. We’ve had margin growth segment of our business and we see that continue to more.
Denis Mathieu: That’s a smart private label product that we have ourselves, we see sales and we see and enjoy larger margins on it. So that’s great point.
Leon Aghazarian: Secondly would be on the inventory side, I mean you currently at around 234 million to 235 million. So I just want to see what your comfort level is with that and if we should expect that to be continues run rate. I understand there is some seasonality involved there, but just want to understand what your comfort level is with your current inventory level?
Denis Mathieu: It’s a good question. Quite frankly I am very comfortable in great inventory and one of the things that I am sort of highly focused on in both businesses is quite frankly exceptional fuel rates. Our fuel rates today in Canada at all time highs, our fuel rates in the U.S. or exceptional. And what we do and we just talk about the margin and it has been, what we do is it because of our scale in size, we have opportunities to take special buys on fast moving items with some of our core supplier partners quite frankly in both businesses but primarily in the finish business and we’ll take positions in that. So you’ll see our inventory rise but we’re very comfortable with kind of region we’re in right now. Again what is absolutely core for us in those maintaining and growing our fuel rates and that’s kind of where we are today.
Leon Aghazarian: And final one for me before I jump back into queue. I’m not sure if I’m miss this in the MD&A, but have you provided what the sales work for the U.S. part business that was divested in the quarter?
Steve Arndt: No we have not provided that information. Or maybe yes, yes maybe.
Denis Mathieu: No, that’s not. [Multiple Speakers]
Denis Mathieu: I’m sorry. Yes we have, if you look at the operating results automotive product, you have to sales that close to our solid locations.
Leon Aghazarian: Okay. So that is that number that's all we’ve got. Okay perfect thank you so much.
Denis Mathieu: I was looking at paint side, obviously I was wrong. Things get little clear in next quarter as we don't have the US side of the business. The U.S. automotive part side of the business there so.
Operator: Thank you. The next question is from Justin Woo. Please go ahead. Your line is open.
Justin Woo: I just have question first on the corporate stores it sounds like it's a obviously very meaningful shift in strategy I was wondering if you can talk about whether this is something that you going to be a little bit more aggressive on in terms of the roll out or conversions or you just kind of the opportunistic as Bob is retired or you can book those stores?
Denis Mathieu: Well I think hopefully you are getting the wide from us that we are clearly going to be aggressive in the markets overall, we’re aggressive when it comes to growing our business in both roles. I think the challenge is in terms of corporate stores, you will see it hit a miss as I said earlier for acquisitions which is our primary way of opening or having corporate stores, you will see that in a pattern that it’s not sort of consistent we’ll have sort of a diet of regular tuck-ins as they come up and certainly work in at larger groups, but the reality for us is that we are aggressive in the market place looking at those groups, but like anything else you would expect there going to be very disciplined in approach to make it sure we pay there the right price, for the right properties, and we are not up, quite frankly buying anything just to do quickly because we have some sort of capital availability to deploy. So I think you will see a very disciplined approach, we’re talking but we’ve got a great pipeline, those assets will come in as soon as this is sensible to do so, but we are aggressively looking at those properties.
Justin Woo: Okay. And can you guys comment I mean generally would be cease to assume that the corporate store margin profile is better than the overall market?
Richard Roy: There are two levels of margin. There obviously the gross margin is higher but the operating store margin and I can give you an example proper FinishMaster as corporate stores as an example, our US automotive network their operating margin was quite frankly higher than our independent group margin, so I think that's the kind of arena we’re looking at going, so we’re looking at profitable accretive distributors, store groups today moving forward.
Justin Woo: Okay. All right, and just on my second question is on FinishMaster, I guess in the past you guys have talked about just wanting to increase your market density and footprints in the U.S. and when you kind of look at the map of where you guys located the northwest looks like a screaming opportunity for you, does that something you are looking at is that market different so than rest of U.S. for you that would make him less attractive or is that something that you would consider growing?
Richard Roy: We are continuing to look at auto markets in the Northwest, it’s definitely a market that’s on our radar. We have enter that market through Greenfield and are currently operating in that market.
Justin Woo: Okay. And lastly can you remind us Denis the representative financing what that number is in the quarter? And I guess assuming that was part of the U.S. auto parts business, is that correct?
Denis Mathieu: You are correct. As part of the overall but first of all as part of the accounts payable that's reason why even there, but overall we continue to have vendor financing for the key is in operation of the parts but also for FinishMaster. So the only portion that we will lose with the cells with the disposition of the US auto part is at first was also 50 million and the remaining portion call for $42 million that's the portion that we will have to repay over the next three quarters. So that's mainly the out of the 154 billion that is 42 that would be repay.
Justin Woo: Okay. So that's all related to FinishMaster in the Canadian business?
Denis Mathieu: No, no let me rephrase it again, I’m sorry, the 42 million is the portion related to the portion U.S. what is that we saw, okay. And the remaining 154 minus 42, so 112, the remaining portion is really added to key region and the FinishMaster.
Justin Woo: Okay. Got you okay.
Denis Mathieu: And this one we going to continue to keep it.
Justin Woo: Okay. Great, I know I guess it's a footnote Rich and Denis again I want to echo congratulations. it was a great pleasure working with you guys over the years.
Richard Roy: Thank you very much, Jason.
Denis Mathieu: Thank you, Jason.
Operator: Thank you. The next question is from Juliane Szeto. Please go ahead. Your line is open.
Juliane Szeto: Hi, guys. It's Juliane dialing in for Sarah. It's been a pleasure working with you guys as well given my short career. So first of all what drove organic growth in the quarter for automotive? Was it mostly pricing; and for paint, was it volume? Additionally, is that 5% organic growth range reasonable given consolidation in the consumer base?
Richard Roy: That's separate two things. So FinishMaster you are asking for the organic growth in the zone. Because we are suggested to sort of 5% to 7% is the kind of range we would be, and within that is organic growth is also price increases so.
Denis Mathieu: Yes. There is price increase in there, but the main part of the growth is coming from the customers attraction.
Juliane Szeto: Okay. And then as for the automotive side, it's pricing is alright?
Steve Arndt: There is some pricing included in the organic growth from the automotive sector also.
Juliane Szeto: Okay. And then my next question is with regards to the impairment charges this quarter with relation to the U.S. business. Going forward can we expect cleaner quarters?
Denis Mathieu: The answer is yes. We are pretty much where we expected to be when we first announced back in February we announced the transaction. We said that we would be close to $100 million overall after tax and we are at in the upper 90s right now $98 million if I am not mistaken.
Richard Roy: And just in terms of full disclosure for your information, the buyer has 60 days to close a balance sheet and we are still waiting for the answer, but we are not expecting any major changes, but just if something happen you may have to little changes in fourth quarter, but for now we are not expecting any changes to those costs.
Denis Mathieu: There would be interval anyway.
Richard Roy: Yes.
Juliane Szeto: Okay. Great. Could you comment on the normalized free cash flow for the remainder of the year? Like your expectations for free cash flow?
Richard Roy: Basically you catch me here I am talking about the remainder of the year, catch me - I can. And we are really looking at $50 million U.S. annually. And if you look at what it's been since for the first half of the year that's the difference would be what we expect for the second half. I will tell you that most of our cash flow will be from the operations rather than the working capital. There might be a little bit on the working capital, but in previous year, most of the cash flow that we have freed from the working capital was originating from the operations that we have sold on June 1st this year. So both FinishMaster and Automotive Canada are in the steady state level. When it comes to working capital we are very happy with their situation as Henry explained a few moments ago we are looking more at maintaining standard fill rates for our customers and we are pretty comfortable with that.
Juliane Szeto: And then finally, what are some consolidation priorities like you guys have mentioned that you guys were looking to giving your balance sheet position? Are there certain areas that you are looking at?
Richard Roy: Can you repeat the question, what consolidation opportunities we are looking at?
Juliane Szeto: Like is there certain areas there looking for -- like is there like FinishMaster or automotive side, there is no preference?
Richard Roy: Okay. You are talking about market consolidation and acquisitions?
Juliane Szeto: Yes.
Juliane Szeto: So in that particular case quite frankly I have talked to a lot of people about this. I like both our kids the same way. And I do so for a very good reason and Steven and Gary are pretty happy about that right now. And I think it's very simple these are both great operating businesses and we are extremely fortunate. There is a great runway in both of these businesses. Both markets are consolidating today. We are seeing it in the automotive space in Canada. There is automotive jobbers, automotive warehouse distributors, they are considering their situation. So the consolidation in those components of the Canadian automotive market and you have already seen us do three acquisitions this year in the paint distributor side of the U.S. market and that pipeline also continues to be very robust. So I think we are in a very enviable position to be able to have two businesses in leading market positions in a market that are actually continuing to consolidate and quite frankly accelerating the consolidated with both strong pipeline. So we love both our kids are the same way and I think we’re going to continue to invest in that same direction.
Operator: The next question is from Anthony Zicka. Please go ahead. Your line is open.
Anthony Zicka: Could you give a bit of color in terms of the Canadian automotive aftermarket? If we look in a regional basis, can you tell us a bit your performance in Alberta, Western Canada and have you seen any change in consumer behavior there?
Richard Roy: Maybe the best person to answer that question is my friend Gary.
Gary O'Connor: There is no doubt but that the Prairie have been effected with price of oil and the oil patch. We were holding our own but it’s not worth towards last couple of years for sure. So I mean we’re writing in out and obviously the other regions are still in the end and we see some nice growth across here with compensates to what’s happening in the Prairie, but it’s nothing dramatic, but it is soft in them.
Richard Roy: And I think just to add there, the first quarter we saw some weakness quite frankly there up in the new queries. The second quarter we’re actually pretty happy because came in above flat. So flat in Alberta or in the Prairie market quite frankly. Little softer if you breakdown the Prairie is a little softer in Alberta than it is in the other components to the Prairies. But in the Prairie group, we’re pretty please with the flat result getting what’s going on.
Anthony Zicka: I guess in the end with this weakness people should retain their cost for a longer period of time and put more parts right?
Richard Roy: That would be expected, yes.
Anthony Zicka: Could you give us a bit of color in terms of competitive landscape in Ontario and Quebec?
Gary O'Connor: I would tell you overall it is quite down a lot of there, I think people enough of some more on sales and margin and I saw it was competitive but we seen is in more state in the last couple of years I would say that we’re seeing right now.
Anthony Zicka: Henry you mentioned the opening up a new warehouse and distribution facility on Ontario gear to private label. Can you give us an idea of what the private label is today in terms of percentage and where do you expect this number will go forward?
Henry Buckley: Yes. I can give this Garry too, because it will open that up and I would say [indiscernible].
Gary O'Connor: So basically the products are importing and it is varying from rollers and brake pads to gloves so a variety of products. And right now I believe it’s around 8% in private label offering and it is kind of grow but it will never be a big part of our portfolio or committed to national brands and that’s what we’re going to focus on, but we’re going to be look at opportunities for reputation to working and improve our margins and serve opportunities.
Henry Buckley: If I may Tony, we’ve been adding private label product to our product offering, we’re really market conditions want that and that’s really the way we’ve been managing that.
Richard Roy: Yes, I mean our real parts breaking program, it’s each in the program a very big component in the market. And we’ve got sort of a very good quality product that enter that. So we’re going to continue to drive that as Gary said we’ll look at others. But it’s not, we’re still very committed to our national supplier. So it doesn’t replace it, it’s in complementary product to it. So I think that’s kind of where we’re heading and Gary says we’re sort of sub-10 today, it will continue to grow up, because good margins, but it’s not going to be the dominant component of our sales growth.
Operator: The next question is from Michael Glen. Please go ahead. Your line is open.
Michael Glen: I have a few different questions here. Can you just clarify, Denis I think you said in the opening remarks that for Q2 the EBITDA margin would have been 2% higher than reported, is that correct?
Denis Mathieu: Okay. Assuming that, let’s that if you remove the impact of the U.S. half version for the quarter last year and for the quarter this year you perfectly right, the margin would have been 2% higher.
Michael Glen: And would you happen to be able to provide something for the year-to-date on that?
Denis Mathieu: Same thing, same 2%.
Michael Glen: And then just in terms of the FinishMaster revenue, how does the seasonality like our second half revenue typically the same as first half revenue or is there any to their back half seasonality there?
Gary O'Connor: Sure. In the business, there is really no seasonality quarter-to-quarter, have-to-have.
Denis Mathieu: The seasonality is maintains in the automotive business.
Michael Glen: Okay. Its pretty stable then, did you guys break out the organic growth for Canada specific?
Denis Mathieu: No we did not, but is going to be easier to see next quarter.
Michael Glen: Okay. So you don't have the number this quarter?
Gary O'Connor: Well, basically if you look at the way we have report sales and we have backed out the closed out, the sold operations in all of those the 3% that we are reporting is mainly Canadian thing.
Denis Mathieu: Yes, when you look at the geographic information you can get it there.
Michael Glen: Okay. The pro forma tax rate going forward you previously quantify that a 35% is that still stand?
Denis Mathieu: 33% to 35% is really the right number on an annual basis, this quarter was very-very unusual. As you know we are half pregnant with the US operation, so two months out of three. So we continue to have the double dip structure that we used to have which won’t be the case going forward and also we had a couple of what I can say I call that a good guys, good reversal of [indiscernible]
Richard Roy: One timers.
Denis Mathieu: One timers for the quarter, so but I stick to the 33%, 35% on an annual basis.
Michael Glen: Okay. And can you clarify the amounts available for tax loss carry forwards in the next few years?
Denis Mathieu: If I recall it directly its 42, 44…
Richard Roy: The amount of net losses, but the amount of tax that will be sheltered by the tax losses is in the $40 million.
Denis Mathieu: I think $44 million, its already booked in the notes, financial statement, but we can -- let me look at it. Go ahead with your next question and we’ll look at.
Michael Glen: Okay whatever the number is that would be equal in ’16 and ’17 say in terms of referring that?
Denis Mathieu: We believe that's going to be able to use it in the next 30 months.
Michael Glen: 30 months, okay. And the CapEx for the pro forma entity was that in the $15 million?
Denis Mathieu: Yes, 15.
Michael Glen: 15, okay. That's pretty much offer me, thanks for the help you guys have gave me over the past few years and other activity.
Operator: Thank you. The next question is from Jeff Graff [ph]. Please go ahead. Your line is open.
Unidentified Analyst: Just want a follow-up on previous caller’s question about the, what margins would have been in the oil business without the U.S. business, so in the quarter, in second quarter the adjusted EBITDA margins were 5.5%, are you saying it would have been 7.5% or would there have been an effect on the previous year as well?
Richard Roy: What I mentioned is the 2% as I mentioned, so any number that you have last year, as we reported last year if you exclude the US operation we would have had 2% more than what we discover last year even for the second quarter or the year-to-date, okay. And that is applicable also to the 2016, so the same 2% is for the quarter, for the year-to-date on consolidated basis.
Denis Mathieu: The consolidated EBITDA. Operator Thank you. [Operator Instructions]. The next question is from Benoit Poirier. Please go ahead. Your line is open.
Benoit Poirier: Just to come back on the private label initiative, are you still talking about the, what you have been talking about in the past, so really the introduction of the new line in the middle of the range?
Richard Roy: I apologize for that I guess we’re repeating ourselves, but you are right, its the mid grade, in the Canadian market that we have been introducing and that's why we’d always saying is that we’ve been focusing on the products that the market conditions requested for us and that was the mid grade quality on the automotive segments.
Benoit Poirier: Okay. Perfect that's great, okay. And now in terms of vendor financing you’ve been pretty good in the past and maximizing the utilization, it seems also that it impacted positively or paid margin, so I’m just wondering, what was the contribution in the quarter and what are you can extract more vendor financing going forward?
Richard Roy: The vendor financing does not affect the margin of EBITDA or the gross margin, the vendor financing ultimately affects the return on assets because it reduces the net assets that we’re using in the business.
Denis Mathieu: In the nutshell its an extension, a better payment terms that's all.
Benoit Poirier: Okay. And right now is there opportunity to even squeeze more going forward or you are already at a decent level?
Denis Mathieu: Once again you have to be careful, do not forget that we are going to have to repay $42 million -- and over that we have at June. So go back to the different level, I do not think it's really good to assume that, okay. Probably even tax rate in the next 12, 15 months have a bit, that could be possible, but once again, I am sure nothing would be very please to comply to do it with the treasury department.
Richard Roy: We are always working on you have got to know that that's obviously part of our strategy.
Benoit Poirier: Yeah. Okay. And last question, any update on the CFO search?
Denis Mathieu: Yes. For the moment there is a CFO search going on for the moment there is nothing for us to announce actually. Well, Henry?
Henry Buckley: Yes. So at this point in time we are absolutely conducting a process and that's a comprehensive process as you would expect us to do, that's our responsibility. So we are not quite frankly panic. We are in very good shape here today and we are very good and very comfortable with the team we have. Michael Englert is our Vice President of Finance and Controller. He is going to be our finance lead here anyways and he has been with us for 27 years. So he is sitting at this table as we speak and it has been for every one of these calls. So I think you should feel comfortable that we are in great hands already than - worked together for many years. So I think that's the primary event and we will take our time to make sure we have the right combination structure folks that come in there so we are in right process with that.
Operator: Thank you. The next question is from Leon Aghazarian. Please go ahead. Your line is open.
Leon Aghazarian: Most of my questions were asked. Just one final one I guess since I have the line is what's your expectation for depreciation and amortization as a run rate going forward?
Denis Mathieu: Good question. If I recall it directly and once again - technically our goal I think that's best way to look at it. Our goal is really to CapEx will eventually equal to be the depreciation. So that should be the same amount year after year. So when you remove the assets and you remove the depreciation of the U.S. operations, we mentioned $50 million technically of CapEx, technically we will reach $50 million of depreciation. That's the kind of logic we have.
Operator: Thank you. There are no further questions registered at this time. I would now like to turn the meeting back over to your Mr. Buckley.
Henry Buckley: Thank you very much Sara. First of all I want to take this time to thank Richard for his very-very significant contributions over the 17 years with the Uni-Select. I have had the chance to work with Richard over the last, I guess 10 months now since exactly September 8, last year. And we have been able to work very close together. And I consider him today a very good friend and the trusted advisor. So I am looking forward to continuing to work with Richard as he takes on his role on the board. So very excited about that and just again thank you and congratulations on your retirement. I also like to take this opportunity to thank Danny. Danny has made countless contribution to this organization. And as all of you well know he's been a great advocate in terms of the organization, very transparent, very helpful in terms of building the business, growing the business and also I know certainly from talking to a lot of you we have had some great relations with him as well. So I wanted to thank Danny for his terrific contribution to the business and truly appreciate and wish him the best of success in the future. I think I want to just to reiterate what we talked about a minute ago that the finance in this organization has been in very-very good hand. I mean Danny has built an amazing team and that's a reflection of leadership right there. Nobody can be standalone, great financial leadership here - 27 years with the organization as made various roles in the finance group but for many years now as Vice President Finance and Corporate Controller. So I am pleased to continue to work with - and make sure that he is also here for you in terms of any questions you may have subsequent to this call. So again thank you very much everyone. We have had a strong quarter. Our commitment is to accelerate profitable growth in the affiliate quarters. I look forward to speaking to you all again in October. So thank you very much and have a great balance of your day.
Operator: Thank you. The conference has now ended. Please disconnect your lines at this time. And thank you for your participation.